Operator: Good morning, and welcome to the Analog Devices Second Quarter Fiscal Year 2025 Earnings Conference Call, which is being audio webcast via telephone and over the web. I'd like to introduce Rich Puccio, Chief Financial Officer of Analog Devices.
Rich Puccio: Thank you, Josh, and good morning, everyone. Before we start the formal part of our earnings call, I'd like to say a few words about Mike Lucarelli. As many of you may know, this will be Mike's last earnings call as he will be leaving ADI at the end of May to pursue a new career opportunity. I want to thank Mike for his many contributions over his 10 years in Analog Devices. Mike has been instrumental in my transition into the Company, and I will be forever grateful for his advice and guidance as I learn the ropes here. I'll miss Mike's insights, optimism and relentless work on behalf of our stakeholders. Mike, I wish you the best in your new adventure. I'll now turn the call over to Mike Lucarelli, Vice President of Investor Relations.
Mike Lucarelli: Thank you, Rich, and good morning, everyone. I also I've thoroughly enjoyed my time working in Investor Relations, and that's because of all you on this call for investors to the sell-side to my colleagues at ADI. Vince, it's been a great 10 years, Rich, was short and sweet, but it was good. And then ADI crew, the Thunder Alley crew, thank you for everything for the past 10 years has been awesome. Jeff, who I hired over six years ago from the sell-side has been a great asset to the IR team and ADI overall. He will be replacing me as Head of Investor Relations. Now Jeff, when I started, the stock was $50. It's now $225, 4x, that means you need to drive this stock to $1,000, and I trust you can do that. So let me pass it to you, Jeff, to host today's call.
Jeff Ambrosi: Thank you, Mike. It's been a privilege working for you. You've taught me many things about semis, ADI and life in general. So, while I'm sad to see you go, I am excited for the opportunity, and I'm looking forward to it. Now for anyone who missed our earnings press release, you can find it and relating financial schedules at investor.analog.com. The information we're about to discuss includes forward-looking statements, which are subject to certain risks and uncertainties, as further described in our earnings release and our periodic reports and other materials filed with the SEC. Actual results could differ materially from the forward-looking information as these statements reflect our expectations only as of the date of this call. We undertake no obligation to update these statements, except as required by law. References to gross margin, operating margin, operating expenses and nonoperating expenses, tax rate, EPS and free cash flow, and our comments today will be on a non-GAAP basis, which excludes special items. When comparing our results to our historical performance, special items are also excluded from prior periods. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures and additional information about our non-GAAP measures are included in today's earnings release. References to EPS are on a fully diluted basis. Okay. And with that, I'll turn the call over to ADI's CEO and Chair, Vincent Roche. Vince?
Vincent Roche: Thank you very much, Jeff, and a very good morning to you all. Well, our second quarter results exceeded our expectations both on the top and bottom lines. Revenue growth was broad-based with double-digit year-over-year growth across all end markets. Against the volatile operating backdrop, our favorable performance and positive outlook underscores the growing demand for our exceptional product portfolio, and the resilience and agility of our business model. While we believe the evolving tariff situation is impacting customers' decision-making, the cyclical and ADI-specific tailwinds I highlighted last quarter continue, and we're ever more confident that our revenues bottomed in 2024 and that we're returning to growth in fiscal '25. The secret to our success over these many decades has been sensing business transitions early and adapting quickly to continue focusing our capital where we can best increase our value to customers and improve our ability to capture that value. We invested substantial CapEx over recent years to enhance and scale our hybrid manufacturing model, which helps our customers navigate increasingly dynamic geopolitical and macroeconomic environments. We expanded capacity at our existing fabs in the U.S. and Europe and added commensurate capacity in our back-end facilities. Further, we deepened partnerships with trusted foundries around the world including securing additional 300-millimeter fine pitch technology capacity at TSMC's Japan subsidiary. We've crossed qualified a significant portion of our broad product portfolio to be able to quickly swing production across geographies. In short, our customers now enjoy greater supply optionality and resilience than ever before. On the OpEx side, we're investing at record levels to further strengthen and extend our world-class technology stack and continue enhancing our customers' experience and engagement with ADI. These investments allow us to take maximum advantage of the incredible opportunities for profitable growth that we see across our end markets. ADI plays a game that prices leaps and innovation that transcends near-term macro concerns. We focus on five key megatrends that are persistently driving the future of business, the global economy and society, namely autonomy, proactive health care, the energy transition and sustainability, immersive experience and AI-driven computing and connectivity as the essential interface between the physical and digital domains, ADI is a critical enabler of these trends. We continue to define and pioneer the state of the art in high-performance analog, mixed signal and power management, from sensor to cloud, microwave to bits and nanowatts to kilowatts. Today, customers are turning to us for more complete solutions. The combination of our extensive franchise with the exquisite creativity and broad-based expertise of our technologists, gives us the ability to deliver elegant solutions to customer challenges that others struggle even to address. For example, as health care becomes more preventative and preemptive, our ability to accurately and reliably sense, measure, interpret and connect clinical-grade vital signs in ultra-low power settings is driving robust content and revenue growth at key customers in the smart wellness wearable space. Within clinical care settings, our cutting-edge imaging and patient monitoring solutions are enabling earlier identification and diagnosis of disease, which can enable more effective treatment and better patient outcomes. Turning to the autonomy trend, advances in automation within the industrial market, for example, are generating tremendous opportunity for ADI. The progression of robotics from fixed arm to autonomous and mobile to humanoid form factors, requires ever greater quantities and integrations of sensing, edge computing, connectivity and energy management, driving our content from hundreds of dollars in fixed robots today to potentially thousands in autonomous and humanoid robots. In automotive, higher levels of autonomy are increasing demand for our sensing connectivity and functionally safe power solutions across all vehicle types, combustion engines, hybrids and full EVs. Each new generation of automated system, be it industrial robots or car dramatically expands our content and revenue opportunity. And one final example from the AI-driven computing and connectivity trend, where the world's rapid adoption of AI continues to accelerate the growth of our ATE and data center businesses. Our leadership and success in ATE underscores the quality of our portfolio as the winners in this market are determined, first and foremost, by performance. Our content per tester stretches into the hundreds of thousands of dollars. And looking ahead, we believe our leverage of additional mixed signal and digital capabilities to further reduce test time and power requirements will result in even more content per tester. And with AI investments showing no signs of slowing, testing demand for GPUs, XPUs and high-bandwidth memory continues to increase, giving us confidence in a long runway for growth. Beyond test, our data center customers are turning to us to solve the vast and complex power and connectivity challenges that come with high performance, always-on AI computing. As a result, demand continues to grow for our innovative systems protection, optical control and power delivery solutions. These are just a few examples of how our solutions leverage persistent trends that transcend business cycles, drive an average selling price 4x the industry average, and deliver differentiated results for both our customers and our shareholders. So, in closing, we've successfully anticipated the transitions of the ICT industry and invested ahead of the curve for decades. Today, we're well positioned to deliver the AI-driven Intelligent Edge solutions that will shape our future success. You may have seen that we just celebrated our 60th anniversary, milestone that fewer than 1% of public companies reach. But as thrilling as that accomplishment is, I'm even more excited about our future and the immense opportunity before us. Now before I hand it over to Rich, I'd like to thank Mike Lucarelli, young Mike, for his distinguished and stellar contributions over the past several years to ADI's success. And I wish him well in his next adventure. With that, over to you, Rich.
Rich Puccio: Thank you, Vince. Second quarter revenue of $2.64 billion came in above the high end of our outlook, up 9% sequentially and 22% year-over-year. Industrial represented 44% of our second quarter revenue, finishing up 8% sequentially and 17% year-over-year. Our industrial recovery broadened with all subsectors and regions increasing sequentially. On a year-over-year basis, we continue to see strong growth in aerospace and defense and ATE. Automotive represented 32% of quarterly revenue, finishing up 16% sequentially and 24% year-over-year. This record result was fueled by continued strong demand of our leading connectivity and functionally safe power solutions, particularly in China. Additionally, we saw sequential growth in Europe and North America. Communications represented 12% of quarterly revenue, finishing up 5% sequentially and 32% year-over-year. Wireline and data center, which makes up roughly 2/3 of our total communications business, drove our strong growth as AI build-outs continue to increase demand for our power and optical control products. And while wireless revenue declined on a year-over-year basis, it did grow sequentially. And lastly, consumer represented 12% of quarterly revenue, finishing flat sequentially and up 30% year-over-year, our third consecutive quarter of robust growth. This reflects our greater share and stronger content position across a diversified list of applications. Now on to the P&L. Second quarter gross margin was 69.4%, up 60 basis points sequentially, driven by higher utilization. OpEx in the quarter was $744 million, up $57 million sequentially, driven entirely by variable compensation, resulting in an operating margin of 41.2%. Nonoperating expenses finished at $54 million and the tax rate for the quarter was 11%. All told, EPS was $1.85, up 32% year-over-year and above the high end of our guided range. Now, I'd like to highlight a few items from our balance sheet and our cash flow statements. Cash and short-term investments finished the quarter at $2.4 billion, and our net leverage ratio decreased to one. Inventory increased $50 million sequentially as we continue to invest in die bank to support our recovery. Days of inventory decreased to 169 and channel weeks ticked lower. In the near term, we are maintaining our strategy of balancing leaner channel inventories with higher levels of inventory on our balance sheet. Over the trailing 12 months, operating cash flow and CapEx were $3.9 billion and $0.6 billion, respectively. We continue to expect fiscal 2025 CapEx to decrease materially from 2024 and be within our long-term model of 4% to 6% of revenue Free cash flow over the trailing 12 months was $3.3 billion or 34% of revenue. And during that same period, we have returned nearly $2.5 billion to shareholders through dividends and share repurchases. As a reminder, we target 100% free cash flow return over the long-term using 40% to 60% for our dividend and the remainder for share count reduction. Before moving on to guidance for our fiscal third quarter, let me provide additional color on recent demand trends given the current backdrop. Unsurprisingly, buying behavior was a bit choppier than normal as we saw some increased activity around the tariff announcements. This was short-lived and orders have returned to more normalized levels. Overall, Q2 bookings grew sequentially across all end markets and all geographies, and our backlog entering Q3 is higher than a quarter ago. These signals support our view that our revenue bottomed in 2024, customer inventories are lean, and we are in a cyclical upturn. Now moving on to guidance. Third quarter revenue is expected to be $2.75 billion, plus or minus $100 million. On a sequential basis, at the midpoint, we expect industrial and consumer to lead our growth, communications to be up and automotive to decline after a very strong quarter. Operating margin is expected to be 41.5%, plus or minus 100 basis points. This includes the impact of our annual salary increases. Our tax rate is expected to be 11% to 13%. And based on these inputs, adjusted EPS is expected to be $1.92, plus or minus $0.10. Now, I'll pass it back to Jeff to begin our Q&A session.
Jeff Ambrosi: Thank you, Rich. Now, let's get to our Q&A session. We ask that you limit yourself to one question in order to allow for additional participants on the call this morning. If you have a follow-up question, please requeue, so we will take your questions if time allows. With that, can we have our first question, please?
Operator: [Operator Instructions] Our first question comes from Joseph Moore with Morgan Stanley. You may proceed.
Joseph Moore: Great. And congratulations to young Mike. Can you discuss automotive, the 16% sequential growth really stands out relative to what peers are seeing? Just what's driving that and kind of any sense for if there's any tariff pull-forward in that or just any mitigation that's happening there? Just how are you growing so much in autos?
Rich Puccio: Thanks, Joe. I'll take that one. So, Q2 was notably stronger than expected. Bookings were strong. Turns were a lot higher than normal. And given some volatility sawing the quarter, we do think our auto results were aided by pull-in activity. While it's difficult to delineate what was pull-in versus normal, our estimate for pull-in upside is in the high single-digit range. However, buying behavior, as I mentioned, has normal [Technical Difficulties] to recur, and this is why we expect to decline in Q3, actually. Additionally, if you think about it, if you adjust for what we think the pull-in impact was, we're really guiding a seasonally flat Q3 for auto. On the pull-ins, right around the 25% auto tariff news, we saw an acceleration in auto sell-through and orders, most notably in the Americas and in Europe, which were collectively up about 20% sequentially, much better than we had planned. And at the industry level, we saw a stronger SAAR numbers than expected in the quarter, potentially also explained by consumers getting ahead of the higher prices. So, our hunch is that the upside in auto right around tariffs was not a coincidence. As for China, the other major market for auto, noted last quarter, we expect a continued growth, and we had another record, and that is what occurred in Q2. And there could have been some pull-in activity but not nearly as noticeable as what we're seeing in North America and Europe.
Operator: Our next question comes from Vivek Arya with Bank of America Securities. You may proceed.
Vivek Arya: Best wishes to Mike as well. So first is you mentioned that you are at a cyclical upturn. And I'm curious, how much do you think you are undershipping demand right now? Is it 10%? Is it 20%? And how many quarters until this kind of just undershipment impact normalizes, right? So, when do you think, your sales will start to correspond more to end demand rather than just inventory replenishment? And I know you just spoke about autos, but I was hoping when you could give us some more color on the industrial side as well and the level of undershipment and then the normalization timing for that.
Vincent Roche: Yes. Thanks, Vivek. I'll take the first part of the question. Yes. So, I think, look, we've seen -- we're in a period now where we've got cyclical tailwinds. We've kept the channel very, very lean. We've been undershipping industrial significantly actually. I think more so than any other market over the past two years. My sense is we're getting back to a more kind of a normalized convergence between demand and supply in that area. We're still keeping overall inventory, particularly in the channel. We're keeping it very, very lean, putting more and more, as Rich said, earlier, putting more inventory on our balance sheet to be ready for the upside. On the industrial side, so I think what we're saying is the franchise, the core franchise of the business, automation, broad base of customers recovering nicely. And we've also seen some excellent examples of green shoots in the aerospace and defense and the AI test area, which I alluded to in my script. And we've got a lot of new wins in health care and automation. So, there's a good blend, I think, of kind of the legacy franchise and the new technologies pushing the Company. So, we've got cyclical tailwinds, and we've got idiosyncratic tailwinds as well, given the new products in the new applications.
Rich Puccio: Yes. And Vivek, what I'd add is I would say from a consumption perspective, we're probably still shipping 10-plus percent below the low-end consumption. But if you think about the outlook, if you take our guide embedded in that guide is about 10% growth in Industrial. And at that midpoint, we will be shipping to end demand. And as we talked about, we'll continue to balance the channel inventory, but we will, at the midpoint, be expecting to ship into end demand in 3Q.
Operator: Our next question comes from Harlan Sur with JPMorgan. You may proceed.
Harlan Sur: And Mike, thanks for all the great support over the years and best of luck in your future endeavors. Industrial Automation, I think you guys touched on it a little bit, which is one of your larger subsegments within industrial. I believe it's about 25% of industrial segment. This was one of the last large subsegments to show recovery given the tie-in to global manufacturing activity, automation inflected. I think in October of last year, it grew in January. Did you guys see further sequential growth in industrial automation in April? And then coincidentally, trade and tariff historically has driven weakness in automation as manufacturers pull back in the phase of uncertainty. Are you seeing any changes in industrial automation order trends recently, especially out of China?
Rich Puccio: So, we have continued to see growth. And in fact, when we look at where we ended the quarter from an automation -- excuse me, an automation perspective, we actually have got a book-to-bill in excess of one. We continue to expect that growth to continue into Q3. In fact, if you look at our industrial business across all of the subsectors of industrial, we have positive book-to-bill in all of those areas above one. So, we feel like that has improved. Obviously, there's uncertainty across the board around the tariffs. So, it's impossible to speculate what that will do, but we do see -- we have seen growth in bookings and in the revenue.
Vincent Roche: I think it's true as well right across the whole spectrum of applications, automation. We've seen very, very strong book-to-bill geographically as well. So, I think we're in a solid patch right now, tariffs are definitely weighing heavily. The uncertainty is, I think, causing certain spectrum. Many of our customers are holding back on build-outs. But I don't think there's any question about the importance of automation. From many, many dimensions, we've got the kind of the normal build-outs of automation, more and more precision, more connected flexible factories. But also, my sense is we'll see a CapEx cycle as localization takes root as well over the coming several years.
Operator: Our next question comes from Tore Svanberg with Stifel. You may proceed.
Tore Svanberg: Yes. Congrats on the results. And Mike, thank you so much. Wishing you best of luck. Vince, you mentioned this a little bit in your script, but robotics, I know this is a market that you have a lot of exposure to. And I think there was a slowdown in that market, especially around the pandemic. But now with AI, it seems that we're sort of at an inflection point. So, I was just hoping you could talk a little bit more about that opportunity and some of the design activity that you're seeing on the robotics side.
Vincent Roche: Yes. Thanks, Tore, for the question. Yes, I think one of the pervasive trends we're seeing is demographic shift. I think automation of productivity is going to be endemic across the globe. And that predates the concern about what is the need to localize and so on and so forth. So, I think the trend is very, very solid. What we're going to see is new epoch, I think, in robotics that we'll move into more tactile, more precise robotic systems that will use a lot of intelligence at the edge. And we are -- you may have seen some of the press and some of the areas where we're collaborating with robotic suppliers, complementary semiconductor partners as well to enable this new era of highly tactile precision robotics to take place. Everybody is focused on the humanoid, but I think there are many steps to take place between the kind of the big heavy arm robotics the more mobile tactile robotic systems. So, we know our content typically in a large arm system would be hundreds of dollars. But as we see more available opportunity to bring intelligence to the edge, we see more modalities of sensing take roots in these more sophisticated robotic systems. I think the content that we could see there will be an order of magnitude more, maybe more over the coming five, 10 years. So, my sense is this is a long-term persistent trend, and I think we're very, very well positioned at that edge. Of course, AI will enable more and more intelligence at the edge, and that's something that we're preparing our solutions to be able to incorporate.
Operator: Our next question comes from Chris Danely with Citi. You may proceed.
Chris Danely: First of all, Mike, thanks a lot for all your help and honesty over the years. First, Dave, Paul, now Mike Lucarelli leaving. This is super depressing. Anyway, but congratulations in all honesty. So just a question on leverage guys. So, if we look at the April quarter results and the July quarter guide, your OpEx is basically growing about as much as sales. And then, the guide for the July quarter, even though you don't guide gross margin implies minimal gross margin growth. So, can you just talk about why that's happening? And should we expect some sort of acceleration in leverage going forward? Or should OpEx continue to grow about the same amount of sales and same way with gross margin?
Mike Lucarelli: Chris, I'll take that one. So, from a -- I'll do the near term first, and then I'll talk a little bit about '25 and what I think you might be able to expect in '26. So, Q2 operating margin was up sequentially despite the big acceleration in variable comp. In fact, our base OpEx was actually flat sequentially. So, what you saw -- that's what you saw in Q2. In Q3, we do expect to see some continued operating leverage, which will get offset by the impact of our annual salary increases as well as our continued growth in the variable, although we will expect the increase in variable certainly sequentially to be lesser degree than we've seen in Q2. If you think about it, just as a reminder for everybody, the mechanics of our variable comp plan, which is tied to the year-over-year growth in operating margin. Given the absence of revenue growth in '24, it was a pretty low year for us. And considering our return to growth here in '25, variable comp is going to grow and will continue to grow meaningfully. So, while we are optimistic, we will continue to achieve operating margin percent growth, the increase in the variable in '25 is muting that. However, when we look to '26, we'll be going off of a smaller base. And so, we do expect we'll get more leverage if we continue the cyclical upturn.
Rich Puccio: And then on the gross margin side, at the 2.75 guide, we expect to be around 70%, which we've talked about. That is -- that baked into that assumption is that we will see the growth in industrial we're anticipating, which as you guys know, is our most profitable. And that has been one of our challenges. We've talked about in getting additional leverage. If you look at just the most recent, the outperform in auto puts pressure on gross margin. But as we see the industrial leading the charts coming out with the 10% expected growth in Industrial in Q3, we do expect we will get back to around that 70% margin.
Vincent Roche: Yes. I think it's worth noting as well, Chris, that where we are adding OpEx to the Company, aside from the kind of the inflationary things that we have to deal with, it's in the engineering side. We see tremendous opportunity across more and more spaces for analog technology, power technology, but also digital and software. So, we're judiciously adding talent where we need it. And that's a contributor to the OpEx, of course. But obviously, long term, we expect to get the returns and get the growth from these investments.
Operator: Our next question comes from Stacy Rasgon with Bernstein Research. You may proceed.
Stacy Rasgon: I have two quick questions just on the demand environment. Just first, given the auto dynamics, you talked about SAAR, what are your expectations for SAAR and auto builds like into the second half of the year amid all the tariff uncertainty because I think autos are getting hit more by that? And then secondly, just, I guess, philosophically, you are seeing pull forward in auto. You don't seem to be seeing it in industrial. How would you know if the strength you're seeing industrial is actually true cyclical recovery versus pull forward in the wake of tariffs or uncertainty?
Rich Puccio: Thanks, Stacy. I'll do the last one. One of the things we looked at as we were trying to assess what we thought might be pull-ins, as we track our ordering patterns and what our expectations around the ordering patterns were. So, what we saw was at the start of Q2, bookings sort of were progressing higher as we expected them to. Then toward the end of March around the time we heard about the auto tariffs, we saw an acceleration in automotive, and that lasted for a couple of weeks, as I mentioned, it since has normalized. But when we look across the other end markets, we didn't notice anything unusual from a booking trends. They were as expected, and we ended the quarter with like I said, we ended the quarter with book-to-bill above parity. And from a geographic perspective, actually, bookings were up in all regions. So, like I said, we didn't see anything anomalous in the booking patterns outside of what we saw in automotive.
Vincent Roche: Yes. I'd say, generally speaking, from the conversations we have with our industrial customers, it's kind of steady as she goes to some extent. There's no particular or anxiety around supply. So, I think it's a pretty normal pattern. And as I said earlier, we're seeing a convergence between shipping and sell-through.
Rich Puccio: Yes. And Stacy, Sorry, I skipped your first part of your question on SAAR. Our expectation is that we'll see SAAR down in the back half. And as we've talked about before, we still get benefit from the continued increase in content to offset some of that SAAR pressure, but we are expecting the second half SAAR to be lower.
Operator: Our next question comes from Chris Caso with Wolfe Research. You may proceed.
Chris Caso: Mike, all the best. Just a question regarding how all of this might affect the second half. And obviously, too early to provide guidance here. But with respect to auto, with some of what you've seen now, as we go into the July quarter, do you think this has normalized such that whatever happens going into the second half is really a reflection of true demand? And I guess the same question for the industrial side as well. How should we be thinking about the puts and takes as we go into the second half?
Rich Puccio: Sure. I'll talk a little bit about Q3. So, as I said, we do think we benefited from some pull-ins in Q2. But given what we've seen in the order rates since and continuing into Q3, we're not really expecting any incremental impact from pull-ins in Q3. So, our outlook reflects the acceleration in our recovery, most notably, again, in the industrial market, where we're expecting a very strong quarter. We've got strong bookings momentum across all applications and geographies. As we think about the back half of the year, if you remember last quarter, we talked about hitting 7% to 10% for the full year growth. With what we saw in Q2 and what we've seen in bookings trends in our Q3 outlook, I'm actually more confident than it was a quarter ago that we'll end at the higher end of that range. But we will continue to be cautious and mindful given all the tariff uncertainty.
Operator: Our next question next question comes from Joshua Buchalter with TD Cowen. You may proceed.
Joshua Buchalter: Mike, congrats on the new gig, and Jeff, congrats to you as well and good luck with the $1,000 stock price. So sorry to pull on and keep pulling on this thread, but I did want to ask about industrial again. I mean you were very clear in your commentary about your on books and channel inventory. But do you get the sense that there's any element of your end customer restocking that's going on? Or do you think this is really just an industrial recovery? Because again, it just the sequentials are better than most of your peers reported, even though they did go a month ago.
Vincent Roche: Go ahead, Rich.
Rich Puccio: So, I actually -- I don't think we've seen in -- I wouldn't call it restocking. I do think that because they are coming off of inventory lows across most of our customer base, and we know that because when we look at net new orders, we're seeing net new orders come in from the industrial customers. So, I do think that they've had lean inventory and our -- and we've seen their purchasing accelerate. But as we've talked about, we've been undershipping industrial pretty significantly for the last two years. And if we head into Q3, we do not expect undership industrial in Q3.
Vincent Roche: We use POS signals as well to gauge -- to get us close to true demand as we possibly can. So, as we said earlier, industrial is the area where we've been undershipping most. And I think what we're getting back to now is a more normalized pattern of shipping and sell-through.
Operator: Our next question comes from Blayne Curtis with Jefferies. You may proceed.
Blayne Curtis: I'll offer the congrats to young Mike as well. I actually kind of wanted to ask about the plans outsourced versus in-source. So obviously, pre-pandemic, you're leaning more towards external. And then when you ran out of supply, it was let's do more internal. I heard you talking about qualifying external fabs. I'm just kind of how are you thinking about this now? Obviously, tariffs are moving target, but it does seem like more diversity in foundry, geographic location is preferable? How are you thinking about it now?
Vincent Roche: Yes. Look, I think first and foremost, we're in a good place in terms of the overall capacity footprint that we have. It's more than 2x what it was before the pandemic. So, we've been investing primarily in CapEx building out front end and back end really to support our growth and give us more resiliency, more flexibility. And I think what we've got now is particularly on the internal piece, I want to make this point as well. When it came to nodes at 180 nanometers and above, which would be the majority, most of ADI's revenue would ship on semiconductor process nodes that are 180 nanometers and above. Essentially, there was no external investment in those nodes for many, many years. So, we decided that was an area that we're still developing a lot of new products on. It's a very, very important part of the -- of many of our businesses, particularly industrial and automotive. So, we decided to place the investments internally to make sure that we have sufficient growth upside and ability to capture the value that we're creating. So, my sense is now we're -- as I said, we've got more than 2x the internal capacity. And we've got this flexible swing between external and internal. From nodes from 5 nanometers, by the way, we're designing new products in 5 nanometers. So, this business is characterized by massive diversity of semiconductor recipes. But the ones that we can do internally to support the broad base of our business, where now we've secured our position there and that we continue to partner with our key collaborators on the finer geometry nodes at kind of 90 nanometers and below.
Jeff Ambrosi: All right. That was our final question. Thanks, everyone, for joining us this morning. And with that, a copy of the transcript will be available on our website and all available reconciliations and additional information can also be found at the Quarterly Results section of our Investor Relations site at investor.analog.com. Thanks again for joining us and your continued interest in Analog Devices.
Operator: This concludes today's Analog Devices conference call. You may now disconnect.